Operator: Good day, and welcome to the FIS Fourth Quarter 2024 Earnings Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker, Mr. George Mihalos, Head of Investor Relations. Please go ahead.
Georgios Mihalos: Thank you, operator. Good morning, everyone. Thank you for joining us today for the FIS Fourth Quarter 2024 Earnings Conference Call. This call is being webcasted. Today's news release, corresponding presentation and webcast are all available on our website at fisglobal.com. Joining me on the call this morning are Stephanie Ferris, our CEO and President; and James Kehoe, our CFO. Stephanie will lead the call with a strategic and operational update, followed by James, who will review our financial results. Turning to Slide 3. Today's remarks will contain forward-looking statements. These statements are subject to risks and uncertainties as described in the press release and other filings with the SEC. The company undertakes no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. Please refer to the safe harbor language. Also throughout this conference call, we will be presenting non-GAAP information, including adjusted EBITDA, adjusted net earnings, adjusted net earnings per share and adjusted free cash flow. These are important financial performance measures for the company but are not financial measures as defined by GAAP. Reconciliation of our non-GAAP information to the GAAP financial information is presented in our earnings release. And now I'll turn the call over to Stephanie.
Stephanie Ferris: Thank you, George, and thank you, everyone, for joining us. 2024 was a year of continued progress at FIS. We made significant strides executing on the strategy we laid out at Investor Day to drive commercial excellence across the enterprise, refocused sales on key growth vectors and extend and complement our portfolio of solutions with targeted M&A. We committed to doing this while also focusing on continued profitability and increasing total returns to shareholders. While there is still much work to do, the actions we've taken to refocus the company are driving improved financial outcomes and delivering greater value to all of our stakeholders. Our focus on commercial excellence continues to increase the momentum we are seeing in new sales across core banking and our key growth vectors of digital, payments and commercial lending, positioning us for accelerated growth going forward. I want to thank the entire FIS team for their commitment and dedication to moving the company forward through this period of rapid change. Overall, we delivered a solid set of financial results in 2024, leveraging our strong position across the money life cycle. Revenue growth accelerated from 3% to 4% in 2024. And while this was slightly below our expectations due to some onetime items, growth in new sales, including a 10% increase in Amplify cross sales and improved commercial excellence across our client base, leave us confident in further acceleration in 2025. We are pleased with the early returns on our sales transformation, driving new wins and higher margin recurring revenue. For example, we've hired more quota-carrying specialists focused on specific solution sets in key verticals such as payments, digital and treasury and risk. We are confident the specialized sales approach will allow us to better cross-sell solutions into our clients and position us to capitalize on our most attractive and growing markets. This focus on profitable growth and business simplification translated into strong margin expansion of 64 basis points for the year. This exceeded our original outlook of 20 to 40 basis points. We are poised to drive further margin expansion in 2025, in line with our Investor Day targets as we execute on the pillars of our future forward strategy. The strong execution this year resulted in adjusted EPS growth of 18% on a normalized basis, again, exceeding our full year outlook. Lastly, we returned $4.8 billion to shareholders across share repurchases and dividends, including $1.2 billion in the fourth quarter. Looking into 2025, we are well positioned to return $2 billion of capital and deliver double-digit total return to shareholders, including 9% to 11% adjusted EPS growth. Turning to Slide 6 for a discussion on new sales, key client wins and partnerships. I'm pleased to report that we ended the year on a high note with the sales momentum we generated over the first 3 quarters of the year continuing into the fourth quarter. The strong close reaffirms our confidence in accelerating revenue growth over the course of 2025 and will provide a solid foundation for continued growth into 2026. Beginning with money at rest. We had a record year of core wins with success across all of our strategic banking platforms. This included several competitive takeaways with our core platforms resonating across regional, community and de novo banks. I'm excited to announce that Centennial Bank, a growing regional bank with over $20 billion in assets will be moving to our IBS platform. And as part of this strategic migration, they've also selected our B1 Studio digital bank offering, which will be replacing their current provider. We're thrilled to be working with Centennial and look forward to growing alongside them. Our IBS platform was also selected by a leading Midwest based community bank. The bank will be migrating FIS from a competitor's solution that have been servicing the bank for decades. Moving to digital. New sales of digital solutions grew 70% year-over-year in 2024. Demand was primarily driven by cross-sales into FIS' core clients. Additionally, we are seeing early traction bundling our digital solutions with new core wins, reducing complexity and cost for banks. We expect the strong digital sales momentum to continue in 2025, aided by the recent Dragonfly acquisition and specialized sales focus. Moving to money in motion. We signed a number of new wins across domestic and international banks and premier fintech companies. First, I'm pleased to announce that we entered into a strategic partnership with Affirm, enabling our debit processing clients to have access to a firm's market-leading buy now pay later capabilities. BNPL represents one of the fastest-growing markets in the changing payments landscape, with over 86 million Americans having used the service in 2024. Our partnership with Affirm, the first of its kind to bring together debit processing with pay overtime capabilities demonstrates FIS' commitment to innovation and unique positioning to unlock financial technology across the money life cycle. During the quarter, we also expanded our relationship with NatWest, a leading U.K. financial institution. NatWest will utilize several new products across both payments and lending. And we've continued to gain traction beyond financial institutions having signed several new network and processing deals with emerging technology providers. This is a significant opportunity to further diversify our payments business, leveraging our loyalty network and issuing capabilities. Moving to money at work. We had another strong sales quarter with continued demand across trade processing and commercial lending. In the fourth quarter, one of the largest regional banks in the U.S. opted for FIS' transfer agency solution. This is another example of how our cross-sell initiative Amplify is resonating with clients. We also continue to see benefit integrating our strategic acquisitions into our global distribution network. During the quarter, Torstone, a specialized SaaS post-trade platform acquired in early 2024, signed one of the largest deals in its history, leveraging FIS' brand and track record in the market, Torstone was able to sell its back-office services to a leading digital brokerage company. In the fourth quarter, we also signed a number of new engagements with both traditional and alternative lenders and our pipeline of opportunities remains large. Commercial lending remains a key growth vertical for us with double-digit revenue growth in the quarter and strong new sales. FIS' products and solutions were once again recognized by a number of prestigious advisory and expert firms across the industry. Our Horizon banking platform was recognized by Celent winning in the advanced technology category. While IDC recognized FIS as a leader in MarketScape's North American digital core banking platforms, and for its outstanding customer satisfaction and treasury management. Additionally, Gartner placed Horizon in IBS in the Leaders quadrant of their Magic Quadrant for retail core banking systems. And Affirm also recognized MVP in the Visionaries quadrant. We are pleased to see so many of our products and solutions continue to be recognized as leaders in the market, reaffirming the momentum we are seeing in sales activity. I'll conclude on Slide 7 with an overview of how FIS is capitalizing on the unique market of the office of the CFO. Leveraging our reach across the full money life cycle, FIS is uniquely positioned to tap into one of the most attractive opportunities in enterprise software, helping CFOs turn finance from a cost center into a growth center for their business. The role of the CFO across large enterprises is expanding. Finance leaders are being tasked with improving and automating processes while simultaneously lowering costs and navigating complex tax and regulatory environments. To achieve these goals, CFOs are leaning on trusted technology providers like FIS for help. The office of the CFO represents a global market of over $25 billion with double-digit growth and significant runway to further grow our business with enterprise corporate clients. The fragmented competitive landscape in this space works to our advantage. While competitors might be able to offer clients 1 or 2 solutions FIS delivers a comprehensive suite of end-to-end capabilities across money at rest, in motion and at work. This suite includes award-winning solutions across payments, supply chain management, digital enhancements and fraud prevention. And we are further extending our lead with the launch of next-generation solutions, such as Treasury GPT, a new tool launched in partnership with Microsoft. Leveraging AI, corporate treasurers are able to access and synthesize large pools of data, helping them improve their cash management activities. We are also expanding our reach with strategic M&A, including the recent acquisition of U.K. Fintech Demaca, positioning FIS as a leader in supply chain finance capabilities. This mix of organic and inorganic investments reinforces how we are effectively allocating capital across the company to capitalize on growth opportunities. The office of the CFO is just 1 example of an attractive and growing market where FIS' unique set of assets, positions the company to win. I stepped into the CEO role at FIS 2 years ago, a company I am honored and privileged to lead. During this time frame, we initiated one of the largest transformational strategies in the company's history to improve our profitability and financial foundation, enabling us to drive key client outcomes of simplification, innovation and client centricity as well as investor outcomes of enhanced shareholder value. The organic and inorganic investments we are making are delivering tangible results. We have successfully completed 5 acquisitions, driving positive financial returns and extending our solution capabilities in key growth areas such as digital, payments and commercial lending. We established new commercial partnerships with industry leaders like Microsoft, Affirm and Worldpay, among others. These partnerships have enabled us to extend innovative new capabilities to our clients and their customers. We had our strongest year ever in core banking with record new wins, sales momentum across our key growth vectors, including 70% growth in digital sales and continued demand for our commercial lending solutions. Overall, new sales increased a solid 9% in 2024, showing progress in our commercial excellence transformation and providing us with visibility into future growth as signings convert into revenue over the next few quarters. Our solutions have received dozens of new awards and third-party accolades from prestigious organizations, recognizing us as leaders and visionaries. We are on the right path to accelerate growth expand profitability and increase shareholder value. And while progress is in to straight line, and we still have more work to do, I'm extremely pleased with the momentum we have and excited about our prospects going forward. And with that, I'll turn it over to James for a review of our financials. James?
James Kehoe: Thank you, Stephanie, and good morning. As Stephanie mentioned earlier, we made continued progress in 2024, laying a strong foundation to achieve our Investor Day goals. The separation of Worldpay was a landmark event, allowing us to increase our growth investments while returning significant cash to shareholders. Our financial results in 2024 coupled with strong growth in new ACV sales and improved commercial excellence give us great confidence for the year ahead. Turning now to our share quarter results on Slide 10. Adjusted revenue growth was 4% in the quarter. we outperformed again in capital mortgage coming in above the high end of our guide. Banking delivered a strong ACV sales quarter but revenue growth lagged expectations due to some onetime items. While these items pressured our fourth quarter results, overall, they will have a positive impact on our 2025 banking revenue growth with a meaningful acceleration beginning in the second quarter. Our adjusted EBITDA margin came in well ahead of our expectations, expanding more than 100 basis points year-over-year, driven by capital markets and lower corporate costs. Adjusted EPS increased 49% or 9% on a normalized basis, led by strong EBITDA growth of 6%. Total debt was $11.3 billion, with a leverage ratio of 2.65x, better than our stated goal of 2.8x. During the fourth quarter, we returned $1.2 billion of capital to shareholders, including share repurchases of $1 billion. And for the year, we fully delivered on our $4 billion target. Free cash flow was $700 million in the quarter, with a cash conversion rate of 110%. While our cash conversion in the quarter was strong, it did fall short of our expectations due to less favorable working capital performance. This led to a full year cash conversion of 77% and we are taking action to improve our working capital conversion going forward. Turning now to our segment results on Slide 11. Adjusted revenue growth was 4% and with recurring revenue growth at 2%. Banking grew 2% in the quarter, coming in slightly below our outlook; three, unexpected items hit us late in the quarter. And negatively impacted revenue growth by around 2 percentage points. Recurring revenue growth of 1% includes a negative impact of approximately 1% and from a contract recognition adjustment. As a reminder, we are growing over an unusually strong 7% recurring growth in the prior year. Nonrecurring revenue declined 3%, including 2 unexpected items. First, a large license deal pushed out of the full quarter and is now expected to close later in 2025. Secondly, the results include the reversal of a $20 million termination fee related to an announced bank merger, which was subsequently abandoned due to regulatory scrutiny. While the reversal of this termination fee was a sizable headwind in the quarter, the retention of this client will benefit recurring revenue in 2025. Professional services advanced 16% and in line with our prior expectations for acceleration over the second half of 2024. Banking EBITDA margin declined 120 basis points entirely due to unfavorable product mix. Turning now to capital markets, which had another very strong quarter. Adjusted revenue growth came in ahead of expectations at 9%, with strong recurring revenue growth of 7%. Other nonrecurring revenue advanced 16%, fueled by very strong license sales and professional services increased 5%. Adjusted EBITDA margin expanded 190 basis points reflecting strong growth in high-margin license revenue and favorable operating leverage. Turning now to our full year results on Slide 12. Adjusted revenue and recurring revenue grew 4%. Banking revenue grew 2% with recurring revenue growth of 3% and inclusive of the share quarter headwinds we discussed earlier. Worldpay related revenue was $140 million for the year compared to $31 million in 2023. And this was more than offset by the loss of $150 million of revenue from federally funded pandemic release. On a normalized basis, Banking's underlying growth was above 3% for the year. And the cost savings and operating leverage led to margin expansion of 88 basis points. Our Capital Markets business had a banner year with 7% growth in both adjusted and recurring revenue, margins expanded 73 basis points benefiting from growth in higher-margin license sales, cost savings and continued operating leverage. Turning now to Slide 13 for 2025 outlook. Our outlook is fully aligned with the goals we set at Investor Day. We expect revenue growth to accelerate to 4.6% to 5.2%, in line with our Investor Day commentary of accelerating revenue growth. We expect margin expansion of 40 to 45 basis points consistent with our prior guide of 2025 being at the lower end of the 40 to 60 basis points reach. Adjusted EPS growth is projected at 9% to 11%, within our 2-year target of 9% to 12%. This is a strong EPS performance given the higher 2024 jump-off point. When we provided the guide back in May of last year, 2024 EPS was projected at 10% to 12% growth on a normalized basis. We delivered 18% growth in 2024 and absolute EPS was $0.24 higher than the upper end of our range. Our target leverage is unchanged at 2.8x, and we expect cash conversion to improve from 77% in 2024 to 82% to 85% in 2025. We recently increased our dividend by 11% and we expect to deploy $1 billion of capital toward M&A. Importantly, we are raising our share repurchase goal from around $800 million to $1.2 billion, and this reflects our commitment to return excess cash to shareholders. In summary, our 2025 outlook is fully aligned with the midterm goals we set at Investor Day. Let's turn now to our more detailed projections on Page 14. We are projecting full year revenue of $10.4 billion to $10.5 billion. This includes an expected $50 million currency headwind as well as the wind-down of a nonstrategic business within the Corporate and Other segment. Together, these items will reduce reported revenue by approximately $100 million for the year with no impact on adjusted revenue growth. Full year revenue growth of 4.6% to 5.2% is projected to accelerate over the course of the year. Banking growth is projected at 3.7% to 4.4%, consistent with our midterm targets. And we are expecting another year of strong revenue growth from capital markets with a full year range of 6.5% to 7%. We do, however, anticipate a somewhat slower start to the year with first quarter revenue growth projected at 2.5% to 3.5%. While capital markets will have a strong start to the year with 7% to 8% growth, banking is facing a tough go over of 200 basis points of nonrecurring revenue due to exceptionally high license and termination fees in the first quarter of last year. Excluding this impact, our banking and outlook of 0.5% to 1.5% growth would be closer to 2.5% to 3.5%. Banking growth will accelerate over the course of the year. as we benefit from very strong 2024 recurring ACV sales and the ramp-up of previously signed deals. On our third quarter call, we highlighted some client requested implementation delays. While these contracts are already signed, the requested delays shifted revenue out of both the fourth quarter of 2024, and the first quarter of 2025. And this has shifted over a point of growth from the first quarter into the second quarter. In summary, while the first quarter will be softer than the full year, we expect an immediate pickup in the second quarter. We have good visibility into the drivers, and we are confident our second quarter banking growth will be within the full year outlook range of 3.7% to 4.4%. As I mentioned earlier, we anticipate full year margin expansion of 40 to 45 basis points. Strong execution of our established cost management capabilities and favorable operating leverage will more than offset the roll-off of TSA's cost increases and a less favorable revenue mix. In summary, accelerating revenue growth continued margin expansion and strong management of below-the-line items will drive adjusted EPS growth of 9% to 11%. Let me now walk you through our revenue building blocks on Slide 15. We have clear line of sight into accelerating banking growth over the course of the year. Strong ACV sales, higher retention and deferred implementations will drive 150 basis points of incremental revenue growth. The recent Dragonfly digital acquisition adds an additional 60 basis points of growth. These improved growth trends will be modestly offset by declining nonrecurring revenue. leading to banking adjusted revenue growth of 3.7% to 4.4%. For capital markets, we are projecting consistent high-quality revenue growth of 6.5% to 7%. The growth will be driven by ongoing expansion into faster-growing adjacent verticals with a similar M&A contribution in 2025 as compared to 2024. Let me now cover the below-the-line assumptions on Slide 16. We expect interest expense and tax rate to be in line or better than our Investor Day targets. Interest expense will increase to $120 million to around $370 million, reflecting increased leverage and lower interest income. We will reduce our effective tax rate to 12% to 12.5% from above 15% in 2024. And diluted shares outstanding will decline 5%. Lastly, we anticipate a Worldpay EMI contribution of around $550 million well ahead of our Investor Day outlook and increasing around 7.5% over 2024. Let me now wrap up on Slide 17. In summary, our 2025 financial outlook is fully aligned with the goals we set at our Investor Day last year. Banking revenue growth will accelerate to around 4% with recurring revenue growing at a faster pace. Capital Markets will continue to grow at around 7% and we are targeting margin expansion of 40 to 45 basis points, underpinned by a strong track record on cost management. Lastly, we are targeting $2 billion of capital return in 2025, and we will deliver total returns of 11% to 13%. With that, operator, could you please open the line for questions?
Operator: [Operator Instructions] And our first question will come from the line of Will Nance with Goldman Sachs.
William Nance: I wanted to follow up on some of the commentary around the cadence of banking revenue growth. I hear you on some of the moving pieces in the first quarter and some of the deals you referenced last quarter. I was just wondering if you could kind of put a finer report on the expectations for the acceleration in recurring over the course of the quarter -- sorry, over the course of the year? And anything that you will call out in terms of cadence of some of the nonrecurring headwinds throughout the year.
Stephanie Ferris: So thanks, Will, maybe I'll kick off at a high level, and I'll let James add on some of the knits around the numbers. I think in third quarter, you heard us talk about some of our strong new sales wins that we had experienced at the end of '23 and the beginning of '24 moving at client request into second half or Q2 and beyond in 2025. If you'll recall, we talked about that. And so that move, which is about 100 basis points in terms of signed deals where we have clear visibility is going to really start to take hold, they're implementing in the first quarter, and then you'll see the revenue from those in the second quarter. So the move of those contract implementations, which we previewed in the third quarter is impacting our fourth quarter and our first quarter numbers in terms of being a bit lighter than you would expect. So I would say that. And then also in terms of visibility, as we think about the cadence of quarterly growth and James can talk about the nits and nats in terms of Q4 and Q1. We also feel really good about our commercial excellence, both in terms of the sales wins we have in 2024 signed our commercial excellence program, giving us a lot of visibility into client retention, core organic wins, and so as we come into 2025 and those implement again, remember, these are core wins, this is digital, et cetera. Those are longer tails. We see and feel really confident in terms of visibility coming into Q2 and beyond. So with that, maybe I'll give it over to James in terms of talking about quarters and the difference between recurring and nonrecurring.
James Kehoe: Yes. Will, yes, so we did say quite clearly that Q1 will be the low point of the year at 2.5% to 3.5%. And I'll come back to that in a second. And then we were pretty clear that the second quarter will sharply increase to basically in line with the full year growth. And then if you look out to the second half, probably a slight acceleration versus that full year growth number. But I really want to emphasize that we're kind of working our way through this Q1 were actually, if you strip back the pieces is decently positive. So here's one way to think about it. If you take the high end of the guide in Q1 for banking, it's [ 1.5% ]. We did say there were large termination and license headwinds versus prior year, call it, 200 basis points. On top of that, we also said you got 100 basis points that's basically shifting contract closures between Q1 and Q2. So we kind of get to -- and if you take out M&A out of the number and try to get to a clean number on what the core business is doing on a run rate, we got to around 4%. And that's why we're pretty confident that we can ramp up to that kind of full number on a reported basis in the second quarter. We're not -- this is not a second half story at the second quarter. And unfortunately, the first quarter is held back by these contract delays we'll work through those. I think the thing I feel best about here is, it's what Stephanie said in the prepared comments, the ACV sales were up 9% on the year. And as we look into the 2025 year and the new sales we're counting on in the income statement, and a little over 80% of the new sales are already signed. So this gives us decent visibility, particularly on the quarterly cadence.
William Nance: Appreciate that. That's clear. I appreciate the -- some of the math in the first quarter as well. That's a helpful bridge. And then maybe following up a different topic. I wanted to ask about the technology outage in 1Q. Is there any impact from this in the numbers here, either in top line revenue loss or in terms of incremental spending on business continuity. And in practice, just how are you dealing from the fallout of that event?
Stephanie Ferris: Yes. Thanks, Will. So yes, we did experience a partial system outage temporarily disrupted operations. To be clear, it was not a cyberattack or malicious conduct and no data breaches, et cetera. We did get our clients back up and running really quickly and have been working with them. We don't believe the incident will have a material impact on FIS' results or our operations. So feel fine about the fallout of that in terms of -- we were back online very quickly and don't believe there's any material impact for us. either now or going forward.
Operator: And that will come from the line of Tien-Tsin Huang with JPMorgan.
Tien-Tsin Huang: Just on the ACV question, it was up 9% in '24. Stephanie, what are you thinking for '25? Can you do better than that? Is the composition going to be more larger deals? Or could we see a bigger contribution from shorter projects, that kind of thing.
Stephanie Ferris: Yes. Great question, Tien-tsin. Of course, it's more than 9%, absolutely. We think we are on a growth trajectory here. And if you remember from Investor Day, we talked about how we were going to focus on sales. So we were getting back to our knitting in terms of core and our base business. We had record core wins in 2024. We're on the same track in 2025. We're really getting our mojo back there, I feel really good about that, both in terms of wins and client excellence. As we think about our 2025 sales consistent with Investor Day, we're focused on digital sales, we're focused on payment sales. We're focused on lending sales, the places where we really plan to accelerate growth because of the size of the TAM, our product set and how much growth is there. really pleased with the digital growth we saw in '24, but lots of runway there. We talked about 10% growth in Amplify. So I still think we're in early innings in terms of our sales growth. And as we said on the call, we have increased the number of sales folks in the field for us. We feel like we've got our mojo back in core, but we are increasing specialty in these high-growth areas, whether it's commercial lending, digital, we see demand. We also see big demand in office of the CFO. So that's where you're seeing us focus significantly this year, and we would expect to see incrementally more growth in sales in terms of 2025.
Tien-Tsin Huang: Yes. So I thought that office of the CFO -- my follow-up as office of CFO news and hearing some of the wins that you've talked about. Is there an impact on -- specifically within banking, is there an impact on EBITDA margin that we can expect for some of the upcoming ACV and deals that are converting because I heard in the fourth quarter that there was unfavorable product mix. So what can we expect there?
Stephanie Ferris: Yes, I'll do high level and James can hit me a little bit. I think the margins we're expecting is continued focus on all of our cost programs. I think we've been largely successful there, which is across the entire business. So we expect to see banking margins expand I think the product mix he was referring to was really the reversal of the termination fee. So if you think about that, that comes straight out of revenue and profit is more around what he was talking about with respect to product mix. So I think from a margin standpoint, we're continuing to be focused on very strong cost discipline. As you know, we're battling through the Worldpay dissynergies as they come off and feel really good about where we ended in '24. And we feel like our guide for margins in 2025 is right in line with what we said at Investor Day, which is us significantly focusing on both top line and bottom line.
Operator: And that will come from the line of Darrin Peller with Wolfe Research.
Darrin Peller: James, maybe just a financial question to start off. Can you just remind us of the moving parts on the free cash conversion side from the trend line of what occurred throughout the last year. I know we talked about some of the vendors. But more importantly, just the conviction in the trend getting going in the right way for the next few quarters and into the end of '25 and where you really look to see that exit rate going forward.
James Kehoe: Yes. Yes. So we come in at [ 77 ], and that was below our target of about [ 85 ]. You'll recall on the last call, we called out a number of unusually aggressive suppliers. And just as you look forward over an 18 to -- 18-month period, that generates about 50 basis points of pressure on capital expenditures, so call it, $50 million a year. So that's the first bit of pressure we had. The second pressure is we've seen probably we haven't been attentive enough on net working capital. We spend an awful lot of time on capital allocation. We spent a lot of time on governance around capital budget, return on investment, return on the acquisitions. We're shifting the guns now to -- we are, frankly, painter suppliers too quickly. Our terms are down in the 40s, and many companies are running at [ 90s ]. And then 2 is, we did over the last 6 months, see some extension on payment terms with customers. We need to get a little more vigilant on that. And to our collection has not been in line with my expectations. So the slippage towards the end of the year is we understand it, and we've set up programs. We're going through contract by contract overdue by overdues. We will be extending payments. And I want to be crystal clear on this. We have clear line of sight to the guide we've given you the [ 82 to 85 ]. The only reason there is a range is just we saw this volatility at the end of the year. I'm trying to target to the higher end of that. I believe in 2016, we're back to business as usual and the 90%-plus we've got a bunch of opportunity here. The CapEx is going to run at 9% in 2025. So as I mean, that's about a percentage point higher than the guide that we would have given 12 months ago. So we said about 8% or below. It's running at this 9%, and that's what's given us the pressure on the 85% versus 90%. So you have our conviction here will be back on 90% in 2026.
Darrin Peller: Okay. Very helpful, James. Stephanie, just a quick one. The -- again, understanding there's been delays, but the specific types of contracts and revenue that you're seeing demand for in the banking side to show the -- on just the timing dynamic, what are you seeing the most excitement for customers right now on the banking side for new business?
Stephanie Ferris: Definitely continue to see a lot of demand around our core. We've made some significant investments. You heard us highlight IBS. Digital, digital, digital, digital, every financial institution is focused on their digital experience, which is why we continue to invest very significantly both organically and then from an acquisition standpoint, so we can serve everybody commercial lending continues to be a very big demand across the board, not just with banks but with private credit. -- and asset managers, et cetera. And then the last one, which is what we highlighted office of the CFO. We think we're uniquely positioned there. We see a huge amount of demand, and we see mainly niche players. And we think bringing together our products and putting them into an office of the CFO solution is we're taking the market by storm there. again, winning a lot of awards in that scenario. We think that's just early days, and that's a place we're really carving out for ourselves. So overall, I would say that's where I see a significant amount of demand. Thanks Darren.
Operator: And that will come from the line of Dan Dolev with Mizuho.
Dan Dolev: Great job here on capital markets. hopefully, you guys will get credit for that performance. I do have a question about unpacking 4Q banking growth. So starting at 2%, there's Worldpay. Like can you unpack, James, for us what's the underlying growth, we think for M&A, Worldpay dysynergies and all the factors that you called out like all in? And then I have a quick follow-up.
James Kehoe: Yes. Okay. So hopefully, this won't come across as too complicated. But Worldpay, yes, that contributed in the quarter. That was about $34 million. So call it about 200 basis points. M&A and then dissynergy. We see M&A and dis-synergy as the same bucket. And the net positive impact was 30 basis points. So the result in the fourth quarter had a positive contribution coming from those 2. And you'll recall from the prior calls, the negatives against this pandemic revenue 160 basis points. It almost entirely offsets the contribution in the quarter from Worldpay Commercial Services. And then the final one I would add is the contract recognition items in the quarter pulled down the revenue by above -- because the term fee is a switch between the third quarter and the fourth quarter. So these recognition items pulled down the result by about 180 basis points. So we step back from this and we look at the positives from Worldpay and M&A negatives from pandemic dis-synergy and the contract recognition. And we're getting to a core growth, if you want to call it, like core growth of around 3% in the quarter. So -- and then if you look at the recurring, that was growing slightly ahead of that, probably a little north of 3%.
Dan Dolev: Got it. And maybe Stephanie, a little more strategic question. Like how do you feel about the portfolio today? Obviously, there's been a lot of like cheddar about potential changes in the competitive landscape. So if you think about your 2 businesses, how happy are you with the current portfolio? And what else do you think you could need to boost client overlap cetera?
Stephanie Ferris: Yes. So I think we're very pleased with how we are executing against what we set out at Investor Days, which is getting back to focusing on our core business wins there. You're seeing that in trading and processing growth as well as core banking growth. Then we are focusing both organically and inorganically in the places we think there's a lot of growth opportunity for us. Digital payments, lending, treasury and risk. And so as we look at those and think about where we can position ourselves uniquely where no one else is, and so we have a bit less competition is really think about commercial lending as a big space, again, like I said, taking advantage of opportunities in private credit, hedge funds, et cetera. and then office of the CFO, where we've pulled together a set of products across banking and capital markets where we think we're uniquely positioned, and you don't see a lot of our competitors. So I think that what you're seeing us do with the company post Investor Day and the separation of Worldpay, while we're still very much going to market in conjunction with Worldpay and the commercial agreements there, and we think that will continue to be strategic for us. You're seeing us really carve out a niche with the assets we have that are really differentiated from everybody else that you would normally compare us to. We're not a payments company that isn't what we're doing. We have large amounts of payments capabilities. We're not in SMB payments. That's not what we do. We're in -- we serve large corporates across the globe, and we serve large financial institutions. And we're looking to take advantage of that scale, global distribution and marquee product set in a different way. And you're going to continue to see us with our M&A strategy, put the assets down that we think can help us grow in those high-growth areas.
Operator: And that will come from the line of Jason Kupferberg with Bank of America.
Jason Kupferberg: I just wanted to start on the banking outlook for '25 again. I know we've got the 3.7% to 4.4%. James, can you just put a finer point on the recurring versus the nonrecurring growth rate for '25 and just what the Worldpay revenues and banking look like in '25 versus 2024.
James Kehoe: Yes. So as we said, we're accelerating to 3.7% to 4.4%. It's mostly coming from the 150 basis points of acceleration coming from a strong sales and execution. And I said earlier that about 80% of the new sales is already signed, sealed and delivered. When you think about recurring, we want to avoid start getting into a guide on recurring. Recurring I think, will generally be in line with our prior comments. Now recurring will be slightly ahead all the adjusted. So you can assume as you build out your models, your recurring and banking will be growing slightly ahead of the adjusted and the sum of the professional services and nonrecurring will be growing slower. So not by much. So it will be a percentage point or less. When you get into Worldpay, the growth of the core business ex Worldpay would be faster. So said another way, of the $140 million of Worldpay business this year, some of that was nonrecurring, and I'll get the numbers wrong. We didn't give the split. So I think we're currently projecting the Worldpay next year will be slightly -- will be below the [ $140 million ]. So actually, Worldpay will be a slight headwind in next year as opposed to a tailwind, not by much, not by much, 20, 30 basis points kind of number. So Worldpay is not contributing next year. In fact, it's actually pulling the banking growth rate down slightly.
Stephanie Ferris: I would also add, just to put a finer point on this, because I think there was a lot of hub up about this after the third quarter. The way to think about the Worldpay revenue is, it is a commercial strategic partnership. We talked about it when we were separating the business. We will continue to have a commercial relationship, just like we do with the firm, just like we do with Microsoft, we go to market, it's very important. It has not been a growth driver in 2024 because it's completely offset by the pandemic revenue. And it will not be a growth driver in 2025 because it's -- we're expecting it to be slightly down. So Worldpay revenue, while very important from a market standpoint is not contributing to growth in either 2024 or 2025.
Jason Kupferberg: Okay. That's really clear and helpful. And then I just wanted to ask on the capital markets side, nice solid outlook there for 2025, although I do think it's a touch below the Investor Day target. So just Curious if there's any call out there? And if you can just clarify the Idemica acquisition contribution to cap markets this year.
James Kehoe: Yes. I think I'll cover the last piece first. The total contribution of acquisitions in Capital Markets in '24 was about 140 basis points. And we're expecting, including that, Idemica, we're expecting roughly the same number. So call it, [ 140 ] next year. Yes, if you look at the guide, that's slightly below because we were calling out about 150 to 200 bps coming from acquisitions on an ongoing basis. So the plan as currently constructed only has [ 140 ] in there. So that explains some. But also, I would say, at the end of the year, capital markets came in quite a bit stronger than we expected. Like it's not a huge number. About $10 million that was kind of was mostly licenses, very profitable licenses at the last minute. It pulled up the base year, if you like, and we didn't adjust the license target for 2025. because we said, okay, we have a line of sight to a license started for '25. So call it, the base came in higher by 40 bps and a pull down year-on-year growth rate. It could signal a little bit of opportunity there. But we love the capital markets business. It is entirely consistent over a multiyear period. This is a business that is growing 7%. It's starting the year strong. I hope you saw that it's running at 7% to 8%. You could almost put it across the next 3 quarters and it will grow almost the same amount each quarter, very predictable quarter in, quarter around high-quality revenue industry-leading margins. So we're very happy with this. So -- and by the way, just to point out to everybody on the call, we haven't built in any unannounced acquisitions in the guide.
Operator: And that will come from the line of Ramsey El-Assal with Barclays.
Ramsey El-Assal: It feels like the 2025 banking guide is pretty contingent on getting that deal backlog implemented on schedule could the timing shift further at this point? I guess, how much visibility and/or confidence do you have that these deals will get turned on now when you expect?
Stephanie Ferris: Yes. Ramsey, great question. I'll take that. So it's about 100 basis points we're really confident. The only thing that moves is potential acquisitions closing in first quarter versus second quarter as an example of one of them. And then we're already starting to see another one implementing in the back half of first quarter. So we're very, very confident. These aren't signings. These are implementations. And so feel really good about that 100 basis points. Now might an acquisition close in terms of when regulatory approval goes because it's very large, possibly -- but at this point, we're feeling very good. And if it does, it might cross a quarter. But we feel really good about those implementations. Like I said, one of them is already in motion as we speak.
Ramsey El-Assal: Got it. Okay. Super helpful. And then a follow-up for me. The 2025 free cash flow conversion guidance definitely higher than '24, a bit below the medium-term guide set out at Analyst Day. What are the levers that you have, James, to basically get that into the longer-term range from where it will sit in 2025, if all goes as planned?
James Kehoe: I think the number one is -- what I said before, capital in 2025 is projected at 9% of revenue and the long-term goal is 8%. So that will drive about $100 million of improvement versus the $85 million range going to $90 million. And then accounts payable, we pay too early. We should be running at 90 days, and we're down at [ 45 ] to [ 50 ] depending on the type of supplier. And then third one is we have some late collections that, in reality, we shouldn't have at all. And this is just -- we have a lot of improvement opportunities in end-to-end process on the collection side. So we see good line of sight and obviously, EBITDA. So the #1 driver of cash flow in any company is the quality of earnings and the quality of EBITDA. And we have good line of sight to the flow of EBITDA over the next 3 years.
Operator: And that will come from the line of Vasu Govil with KBW.
Vasundhara Govil: I guess the first one I had was on the EMI contribution from Worldpay. It's a pretty healthy number despite the outperformance this year. And just wanted to see how you've guided to that for '25 and if there's room for upward bias this year as well or were done with the easy upside at this point? And I know Worldway revenues were also better this quarter. So any color on that would be helpful as well.
James Kehoe: Worldpay had a very good fourth quarter. I believe the revenue was up 7% or something. So the beat we had in the base here versus the last guide we gave was pretty much all coming from EBITDA. So they had a strong finish. As we're giving a 7.5% guide, that's obviously agreed with Worldpay management. I think most of the forecast in the upside and a lot of the upside in the base here was at a strong start in Q1, good finish through the end of the year. They refinanced debt once last year. they have refinanced again this year. That is built into the guide. And just in general, some of the upside last year came from building out -- they didn't build out all the stand-alone structure in line with the original plans, and that's a bit of a headwind in 2025. So we're pretty comfortable with the guide that the business is doing very, very well, and we have good line of sight to it.
Vasundhara Govil: And just a quick one for you, Stephanie. I know bank M&A seems to be picking up and wanted to get your temperature check. On that, I know in the past, you've said it's a net positive for you guys. Just any additional thoughts around that? And if anything related to that is baked into the outlook today?
Stephanie Ferris: No. I would say in terms of outlook, it's -- we have normal M&A contributions. We've baked in what we know. We don't bake in what we don't know. We have an unknown number, of course, but we have a lot of visibility into that at this point. we view M&A like everybody does in terms of being an opportunity. Some go our way, some don't. But generally, we serve larger financial institutions who tend to be consolidated tours. So we feel really good about that.
Operator: We do have time for 1 final question, and that will come from the line of John Davis with Raymond James.
John Davis: Just on the buyback, good to see the $1.2 billion, but I thought it might be a little bit bigger given the lack of M&A last year. So is that more a function of conservatism or there's something bigger in the pipe, is there any comments there?
James Kehoe: So I think when we -- at Investor Day, we said the range will be $800 million to $1.2 billion with 2025 at the -- we basically said it was going to be $800 million -- so we've scaled up by about $400 million, which effectively is pretty close to the underspend in 2024. We anticipate '24, [ $1 billion ]. I think we came in at $550 million. $550 million, $600 million roughly. So we see that we almost gave back all of it.
John Davis: Okay. And then just as a quick follow-up. Obviously, we've talked a lot about the banking guide and the shape of the year. but you do need a further acceleration beyond 2Q in the back half. And Stephanie, is that really just all the new wins you've been talking about implementation? And then is there any risk that those implementations slip similar to what happened in Q4 of '24.
Stephanie Ferris: Yes, it's a great question, John. So like I said, I think there were really 3 large implementations that moved 1 related to an M&A, 1 related and then 2 others at client requests. One of those is already starting to implement. The M&A is very close to closing. So we feel good about it. But I'm never going to tell you could it slip again. But again, these are signed deals these -- we are working on the implementations as we speak. So I feel very good about those. We also -- as we come into 2025, feel much stronger about the overall sales. So that's implementations of 100 basis points. I feel really good about that. We have like we said in our prepared remarks of the overall 150, where we've already sold these clients, and we need to implement -- so very -- feeling very good about that, have a high line of visibility there. These are less around being very large. So it's more of a big pipeline of implementation, and we've done a really nice job with that. Again, these are the record core wins we keep talking about. And so our pipeline for implementation is really full in '25 and '26. We have room for more. We'll always take more, but those are longer to implement. So in terms of -- I know the frustration in terms of fourth quarter, first quarter were equally as frustrated but we feel really good about the Q2 and back half acceleration. It's a Q2 story to James' point, and we don't have to do a lot of selling to hit that. We will continue to sell and accelerate a lot but we feel really confident about our line of sight into hitting our numbers in 2025.
Operator: Thank you so much for that. This concludes today's program. Thank you all for participating. You may now disconnect.